Operator: Greetings. Welcome to Torrid Holdings Second Quarter Fiscal 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Chinwe Abaelu, Chief Accounting Officer and Senior Vice President. Thank you. You may begin.
Chinwe Abaelu: Good afternoon, everyone, and thank you for joining Torrid’s call today to discuss our financial results for the second quarter of fiscal 2024, which we released this morning and can be found on our website at investors.torrid.com. With me today on the call are Lisa Harper, Chief Executive Officer of Torrid; Paula Dempsey, Chief Financial Officer; and Ashlee Wheeler, our Chief Strategy and Planning Officer. Before we get started, I would like to remind you of the company’s safe harbor language, which I’m sure you’re already familiar with. Management may make forward-looking statements, including guidance and underlying assumptions. Forward-looking statements may include, but are not limited to statements containing the words except, believe, plan, anticipate, will, may, should, estimate, and other words in terms of similar meaning. All forward-looking statements are based on current expectations and assumptions as of today, September 4, 2024. These statements are subject to risks and uncertainties that could cause actual results to differ materially. For further discussion of risks related to our business, see our filings with the SEC. This call will contain non-GAAP financial measures such as adjusted EBITDA. Reconciliations to these non-GAAP measures to the most comparable GAAP measures are included in the earnings release furnished to the SEC and available on our website. With that, I will turn the call over to Lisa.
Lisa Harper: Thank you, Chinwe. Hello everyone, and thank you for joining us today. We are pleased with our second quarter results in which sales and adjusted EBITDA came in at the high end of our guidance range. For the quarter, sales were $285 million and adjusted EBITDA was $35 million, resulting in 103 basis points of adjusted EBITDA expansion as a percentage of net sales to 12.2%. This was driven by strong regular price comps, which increased 6.4% and our diligent inventory and expense management, which we will discuss shortly. Additionally, we successfully generated meaningful free cash flow, allowing us to end the quarter with $54 million in total cash. Before Ashlee and Paula provide more details on our second quarter performance, I’d like to take some time today to share where we are and our strategies for the business transformation. Our first phase, which is nearing completion, was focused on driving operational excellence. Phase 2 is focused on scaling that platform to expand product offerings, gaining additional wallet share and building our active customer file while delivering top- and bottom-line growth. Since my return approximately two years ago, we have focused on many initiatives building talent, improving operational execution, realigning product sourcing and driving supply chain capabilities, enhancing financial discipline, optimizing inventory levels, and expanding technical and digital capabilities. We worked on building a scalable operational foundation that positions us to accelerate into the next phase of our strategy, which is product evolution and expansion. We’ve discussed many of these initiatives over the last several calls, but I’d like to highlight a few of these today. Historically, Torrid has had a best-in-class data and digital capabilities. Our direct business now delivers 60% of our total demand and 93% of our customers are engaged in our loyalty program. Our data centric approach to our business has allowed us to build a dynamic marketing program over the last several years that delivers both short- and long-term incremental EBITDA growth. We have focused on a balanced approach to acquisition, reactivation, retention and frequency, and have the talent and disciplines to manage this dynamic process. Lately, we have seen an appreciable increase in brand awareness, increasing from the low 40s last year to 52% in our most recent measurement. We continue to have an industry leading customer satisfaction score of 95%. Our focus on customer activation in our stores has increased most notably with the reintroduction of our Casting Call Model Search, which had the highest engagement of any program of this type that we have ever executed. We see opportunities to invest in broader digital and store activation, both of these in the upcoming years. We operate our stores as the center of our omni experience for our customers. We know that over 60% of our customers learn about the brand from their store experience, becoming the most evangelical lifetime value customers. Using stores as the primary source for customer acquisition allows us to operate with a very favorable CAC that supports first purchase profitability. If she tries a product on in a store, she converts to a purchase at a rate of 50%. Store activated customers are the stickiest with the highest propensity to become omni customers. An omni customer spend 3.4x the amount of single channel customers. We have always been laser focused on our customers as we acknowledge that she has minimal retail options dedicated to her even though she represents approximately two thirds of U.S. women. While we remain committed to stores, we believe that we can better service our customers by rightsizing our store footprint. As our leases come up for renewal, our focus is on increasing our presence in lifestyle centers and improving the productivity of our current store base. We are her cheerleaders as we introduce her to products that change her life, a claim that very few retailers can make. Our mission driven store associates are most often customers that have experienced that life changing store experience and found product that fits and flatters her while encouraging her to live her very best life. We experienced Torrid tears over and over in our dressing rooms, tears of joy, relief and beauty. Despite our clear focus on the customer, the company had not scaled our investments with our business. Systems needed to be updated. The supply chain was fractured and could not keep up with servicing the customer. We have implemented significant updates to our entire enterprise suite of systems with the final phase to be completed by the end of 2025 when we roll out our financial system upgrade. Our talented leadership and distribution and supply chain now provides excellent service levels that include 98% of orders that leave the DC the same day they are ordered with a 35% improvement in distribution center productivity over the last year. We also now have the capability to ship directly to our customers from all of our 657 stores, including the recent expansion of that capability in Canada. Our customers can choose to have product delivered to their store and our store associates can order any product for a customer and have it shipped to either their home or to their store. Simply put, our omni capabilities are dynamic, efficient and allow for all customer preferences. These fully flexible options allow for optimal inventory investments as we can be agnostic on demand and fulfillment choices. In addition to these changes, we have spent the last two years identifying and executing dramatic improvements in overall inventory investments and product costs. Our inventory at the start of Q3 2024 is approximately 40% lower than the inventory levels when I rejoined the company. Additionally, our retail ticket prices had increased by 15% in 2022 and we were heavily committed to China as our primary country of origin. Two years later, our inventory is highly productive, our product costs have decreased as we have focused on sourcing strategies with our strongest partners and our China penetration will be in the mid teens by the end of the year. We have added opening price point to better balance our overall retail mix. This improvement in inventory position and quality has delivered appreciable expansion in gross margins, which were up 323 basis points in Q2 2024 compared to the same period last year. It has also generated substantial improvement in working capital, resulting in $54 million in cash and cash equivalents at the end of Q2 2024. Important to this disciplined strategy is that we have eliminated many empty calorie sales. The second quarter was the inflection point for this with our clearance sales comping negative 50%, while our regular price sales comped positive 6%. That yielded a blended comp of negative 0.8%. We believe Q2 represents the peak of our strategic clearance actions and the combination of improving clearance sales comps and strong regular priced sales comp to result in blended positive comps in the second half of the year in addition to further product margin expansion. One of the biggest benefits of this inventory strategy is still ahead of us as we start to chase inventory again with 10% of our receipts in Q4 of this year being chased based on customer demand. Chasing allows us to quickly reorder strong performing styles and also allows us to place product bets closer to delivery with greater insight into trends and customer preference. This is a game changer as we move forward and I’m so impressed with our team’s nimble and dynamic approach to making this happen. Our team has worked hard to build a platform that will support the transition of Torrid back into growth mode with perhaps the most important elements still ahead of us because in retail, it is always about the product. When we converted Torrid from a market driven brand to a vertical retailer in 2012, prior to the first round of explosive growth, it was important to develop fit and quality that exceeded her expectations and give her product that flattered her. Our strategy was to give her what she was seeing in the mall but couldn’t buy and we could provide everything in her closet because she was so underserved. But over the years, innovation stalled to mitigate risk and protect the historical business results. Over the last year, we’ve focused on reexamining our standards and process to rebuild a culture of innovation while ensuring our product is relevant and inspirational. But we know that there is one cardinal rule that we will not break. We will not fire our existing customer. Our average customer age has increased from 35 to 42 since 2018. This shows the power of the brand to retain customers, but it also highlights enormous opportunities. I’ll use denim as a proxy for what we have implemented to date. Last year, skinny denim was approximately 65% of our denim assortment. Our approach to denim had to change to move forward and remain relevant to our customer. This year, skinny silhouettes have decreased to approximately 25% of our denim assortment and we have added a wide range of silhouettes and finishes that the customer is loving, wide leg, flare, utility, baggy, updated boot and straight. We relaunched denim [ph] in August and are chasing product to satisfy the exciting demand. The team worked together and did a fantastic job including design, tech design, product development, sourcing, merchandising, planning and marketing to deliver this transformation. We have so much talent in the organization and their excitement is palpable. In addition to a new energy and excitement highlighting the team’s ability to deliver world class product for our core brands and collections, we know that the overall plus size market opportunity is vast. To that end, we will be introducing multiple capsule concepts next year to capture more of our current customers’ wallet share as well as appealing to broader demographics, most notably younger customers. You will start seeing this new product in January 2025 with the release of three capsule collections. While Torrid has developed a certain aesthetic over the years, we know that the customers’ appetite for a variety of looks and price points exists. Imagine our customer shopping at traditional brands. She sees product after product that’s not for her. We will use this product expansion to test customer demand as well as to gauge the opportunity to introduce new customers to the brand. In addition to product expansion in apparel, we are building a robust pipeline of innovation in our intimates categories. For the next two years, we will be reworking our core frames to incorporate new technology as well as expanding our catalog of franchises to provide more solutions to our customers. The expansion of intimates will also be supported by the existing platforms. Critical to this overall strategy is the ability to scale our curtain capabilities. We will leverage our existing omni-store and web platform, our internal design, sourcing, merchandising and planning teams, as well as distribution and supply chain. This strategy also gives us an opportunity to leverage what we have learned in our marketing efforts and we believe this will result in expansion of both reactivated and new customers. There’s more to come and we will look forward to sharing our progress with this initiative. Simply put, we will scale our existing capabilities, disciplined inventory practices and omni platforms to introduce new product concepts to our existing and new customers. This is the second phase of our transformation, product expansion, providing every type of product that you find in the other brands for this remarkably underserved sector. The teams are excited and deeply engaged in executing these new ideas, while also serving up more relevant product to the core Torrid brand. We will use what we learn to inform and scale our third phase, which is focused on accelerated and optimized growth. We are confident that we have made the right changes to the business, positioning us to drive low- to mid-single digit growth in comps and mid-teens adjusted EBITDA margins over time. Key drivers of our adjusted EBITDA as a percentage of net sales are through expansion of our core product offering, adding new capsule collections and executing our store optimization program. And with that, I’d like to turn the call over to Ashlee to discuss more details about Q2 results.
Ashlee Wheeler: Thank you, Lisa. I will begin today by discussing our Q2 results and then give an update on our margin optimization strategies as well as our merchandising and marketing initiatives. We are pleased with the trends we are seeing in our business as customers are responding to our newer collections driving higher regular price sales. During the quarter, we continued to gain momentum with our regular price comps increasing 6.4%, driven by strength across all apparel categories and in particular tops, denim and dresses which all saw double-digit positive comps at regular price. While our total comp was down 0.8%, this was attributable to a 50% decline in markdown sales, which we have been strategically managing and which resulted in a significantly healthier inventory position throughout the quarter. We expect the pressure of negative clearance sales comp to abate as we move through the back half of the year, having reached the peak of clearance comp headwinds in the second quarter. By the fourth quarter, we anticipate the drag from negative markdown comps to be half of what we saw in the second quarter, which will be offset by healthy regular price selling, allowing us to deliver positive comps in total. We remain very encouraged by the health of our business as reflected in an apparel category comp that was up 3.6% in total. Gross margin expanded 323 basis points year-over-year, driven by reductions in both product cost and depth of discounting. We continue to be very pleased with our management of inventory, having turned our inventory historically fast during the quarter and ending with 19% less inventory in total and 52% less inventory at markdown than last year. We have built scarcity into our business model, which reduces our reliance on deep promotional discounts supported by a flexible chase discipline and dynamic omni-channel fulfillment program. By the fourth quarter 10% of our receipts will be chased better informed by trends in the business and in support of incremental sales demand. From a product standpoint, our design, merchandising and planning teams remain laser focused on delivering the most relevant, commercial and balanced assortment that appeals to a broad range of customers and end use. Positive regular price comps and historically high regular price sell throughs across all major apparel and intimates categories reflect the great progress made in product offering and buy accuracy. Apparel is in a cycle of big shifts in silhouette and styling with a variety of shapes and proportions. This is certainly true for denim leg shapes from skinny to super flare and everything in between not seen in a very long time. This shift in leg shape results in a need for different proportions in tops, footwear and third pieces, which was reflected in growth in units per transaction during the second quarter. We recently launched our fall denim campaign that includes a wide variety of leg shapes and wash range with styling that is much more relevant and useful. While still early we are very encouraged by the initial response and believe we are well positioned to support our customers wardrobe refresh needs from head to toe. Building on the progress and positive momentum in our core assortment, we recognize further opportunities to expand our product offering to appeal to a broader range of customers and expand the share of wallet among existing customers. We will launch several capsule collections with differentiated aesthetics that range in appeal from one that caters to a younger, more leading edge fashion and price conscious customer to one with a more classic preppy look and feel, as well as three other lifestyle concepts. To further support our assortment expansion and maximize assortment productivity, we are in the process of implementing a merchandise, financial assortment and allocation planning system. This suite of systems will allow for more accurate and productive assortment investments and even greater inventory management. As much progress as we’ve made in inventory and assortment management in the last year, we believe there’s still room to improve the productivity of our core assortment that will allow us to reinvest that inventory into new capsule collections that will deliver incremental customer style growth and lifetime value. We successfully rolled out the first of four modules in the second quarter and are currently utilizing data from this platform to inform investment decisions. In the back half of the year and the early part of first quarter 2025 we will launch the remaining module, which will provide the ability to optimize regional and store specific assortment planning, blending product, store and customer attributes to curate an even more productive assortment. Additionally, we recently launched a global platform of our e-commerce website which offers a localized customer experience for our customers in Canada as well as other countries worldwide. We have seen a very positive response and believe this will yield incremental demand in the back half of 2024 and beyond. Turning to marketing, our Torrid Casting Call event was incredibly successful in driving engagement, brand awareness and customer file growth. We received over 11,000 applications to be the next face of Torrid and have seen a 9 percentage point gain in brand awareness since the campaign launch. The campaign not only reached a new broad base of customers, but it drove a high-teens reactivation rate among previously engaged customers, such that our year-to-date growth in newly acquired and reactivated customers is positive year-over-year. We are thrilled to announce the winner of this year’s Casting Call and the new face of Torrid to our entire community later today. We have other exciting in store activations planned throughout the back half of the year, including various try-on and fit focused events, as well as an event with ThredUp [ph] where customers are eligible to trade in previously loved denim for credit toward a new pair of Torrid denim. We are committed to in-store activations as a meaningful part of our marketing and brand ecosystem, which foster community and provide an immersive and unparalleled fit experience. Lastly, we continue to improve the value proposition of our loyalty program, which drives our industry leading retention rate and supports growth in customer lifetime value. We have expanded the opportunities for customers to earn loyalty points through various purchase and community engagement behaviors, which we believe will result in increased transaction frequency among our very loyal customer base. We are incredibly proud of the progress we have made. We are excited about the positive momentum we see in the business and the tremendous opportunities in front of us. We look forward to updating you on our continuing progress. With that, I will pass the call to Paula.
Paula Dempsey: Thank you, Ashlee. Good morning everyone and thank you for joining us today. I will now begin with a detailed discussion of our second quarter performance, followed by our outlook for fiscal 2024. We’re very pleased with our second quarter results. Our sales and adjusted EBITDA came in at the high end of our guidance as customers responded favorably to our product offering. While we continue to tightly manage inventory levels, ending the quarter with inventory down 19% from the previous year. All of this drove our total cash and cash equivalents to $54 million, an increase of $35 million compared to the same period last year. For the second quarter, net sales came in at $285 million compared to $289 million last year. Comparable sales declined 0.8% due primarily to lower levels of markdown sales relative to a year-ago, which had a minus 50% comp offset by a positive 6.4% comp in regular price sales. We continue to expect this impact of clearance rebate in the back half of the year as we begin to anniversary more normalized inventory levels. Gross profit increased 7.4% to $110 million from $103 million last year, reflecting a gross margin increase of 323 basis points to 38.7%, driven by lower product costs and fewer markdowns. SG&A expenses in the quarter were $76.8 million, or 27% of net sales, compared to $69.6 million, or 24% of net sales last year. The increase is primarily driven by performance bonuses, strategic technology investments and a one-time expense of $2.1 million, or 80 basis points related to employee severance. As a reminder, we did not incur performance bonus expense last year. Marketing expenses in the quarter were $13 million compared to $12.9 million in the second quarter of last year. As a percentage of net sales, marketing increased 10 basis points to 4.6% compared to 4.5% in the second quarter of last year. Net income was $8.3 million, or $0.08 per share, compared to net income of $6.6 million, or $0.06 per share for the same period last year. Included in this figure is a one-time expense of $2.1 million for employee severance, which is equivalent to $0.02 per share. In addition to GAAP measures, we believe that adjusted EBITDA is an important measure that we use to evaluate and manage our business. Adjusted EBITDA increased 7.5% to $34.6 million compared to $32.2 million a year-ago. Adjusted EBITDA as a percentage of net sales increased 103 basis points to 12.2%. Moving to the balance sheet, we ended the quarter with cash and cash equivalents of $54 million and no borrowings on our revolving credit agreement. Our total liquidity including available borrowing capacity under our revolving credit agreement was $154 million. Total debt at the end of the quarter was $297 million compared to $313 million in the second quarter of 2023. Our inventory levels continue to improve, ending the quarter with inventory down 19% to $128 million compared to $158 million a year-ago. Before we transition to our outlook, I would like to discuss store openings and closures for the remainder of the year by providing an update on our ongoing sort fleet optimization efforts. We recently completed a detailed analysis of our current store base where approximately 65% of our locations are situated in enclosed malls, with the remainder in outdoor centers. Given that our customers show a clear preference for outdoor centers, which has also yield higher conversion rates and profitability we recognize a critical role that these locations will play in our growth trajectory. In response, we’re strategically working to rebalance our store footprint, aiming for an equal split between mall and outdoor centers in the next few years. As part of this initiative, we plan to close our usual cadence of 10 to 15 stores this year with an additional 20 to 25 closures expected by the end of fiscal 2024. We anticipate that these closures will contribute approximately 80 basis points to 110 basis points of adjusted EBITDA expansion as a percentage of net sales in fiscal 2025, with minimal impact on our top line revenue as we redirect customers to nearby stores or our online channels. These additional closures will be timed with lease expirations, ensuring limited impact on our financials for fiscal 2024. We will continue to optimize our store fleet as leases come up for renewal over the coming years, with the ultimate goal of creating a balanced mix in our store fleet. As we turn our attention to the remainder of 2024, we’re pleased with the progress made in the first half and are focused on driving positive comparable sales while continuing to expand gross margin, which will lead to healthy adjusted EBITDA results in the second half. While current sales trends are encouraging, we’re narrowing our full year sales guidance and taking a cautious approach as we now have six months of actual performance data to guide our outlook in the second half. We now project net sales for the fiscal year to range between $1.135 billion and $1.145 billion. We’re raising the lower end of our adjusted EBITDA guidance to $110 million, while keeping the high end of our guidance at $116 million. We expect positive comparable sales and robust gross margins to continue, driven by improvements in product costs, better opening prices and fewer promotions due to sustained reductions in inventory levels. SG&A and marketing expenses as a percentage of sales are expected to remain consistent with the second half of fiscal 2023. Capital expenditure is expected to be between $20 million to $25 million, which includes investment in new systems and technology, as well as the opening of 12 to 16 new stores. Now, let me provide some comments on our expectations for the third quarter of fiscal 2024. For the third quarter we project net sales to be in the range of $280 million to $285 million and adjusted EBITDA to be between $23 million and $26 million. To conclude our solid Q2 results for 2024 highlight the ongoing improvements across our business, this year our priorities have not changed and include improving comparable sales, expanding margins, making strategic investments in technology in our workforce, and delivering strong working capital results. I will now turn the call over to the operator to begin the question-and-answer portion of our call. Thank you.
Operator: Thank you. [Operator Instructions] Our first question is from Dana Telsey with Telsey Advisory Group. Please proceed.
Dana Telsey: Hi, good morning everyone. As you think about the fleet optimization program that you just announced with 65% located in enclosed malls, what is your ultimate target for what the fleet should look like? Are there number of stores, locations and this 20 to 25 additional closures by the end of this year, how do you think about the cadence of closures going forward? Then, Lisa, congratulations on the progress on regular price comps. What are you seeing in terms of pricing and the full price sell through? How are you thinking about product costs and the ability for pricing? And then just anything more on category performance and cadence through the quarter? Thank you.
Paula Dempsey: Hi, Dana. This is Paula. I’ll take the first part on the fleet recommendation. So when it comes to cadence for the 20 to 25 additional closures this year, they will most likely all happen at the end of Q4. We’re timing it pretty well with when the leases will expire, so there will be no actual impact to our profitability. And then in regards to where our target should be, we’re really targeting more on that 50/50 percent. It will take us a few years to get there. It’s not going to be overnight. We’re going to be balancing our fleet while we’re doing these closures. So not only we’re going to be closing them, there’s also going to be openings in outdoor centers. So I would expect the fleet to be a well balanced place anywhere in the next three to five years.
Lisa Harper: And then on the other questions, we have a lot there. So as Ashlee mentioned in the comments, we’re happy with our full price sell-through. We’re turning faster than we’ve turned in a while, and I don’t know if it’s historically the fastest ever, but we definitely made progress in terms of that we’re really comfortable with our inventory levels and productivity of that. We removed the empty calorie sales in terms of clearance sales and really focused on developing scarcity in the model again and really being able to reinforce that with the chase model. I think all of those combined together are – exemplify our strategy, and I’m really proud of the organization and their capabilities to make these, I think pretty dramatic shifts in terms of how we’re managing inventory and managing chase, so really happy about that. Even with the chase, we’re still seeing benefit in terms of cost of goods. We’re platforming fabrics that’s giving us some additional savings in terms of cost of goods. And we’re really reinforcing what we talked about previously, which was the focus on our core vendors and their capabilities and really strong partners with them as we move forward into this. So all of those have combined into the capability – and bringing us the capability to continue to see some improvement in cost of goods. Again it won’t be at the level that we are currently – that we’ve seen for this year, but we still have opportunity. We also still have opportunity in inventory productivity wherever some of our core kind of milestock assumptions that we’ve made historically have room for improvement. So that we see, even with these dramatic improvement in inventory levels, we still think that we have opportunity to improve how we’re managing model stocks and core programs. And as Ashlee mentioned, we have a new system that will be fully, that’s part like half. Two of the four modules are in play right now, and the balance of them will be done by the early first quarter. But this will allow us more specificity and detail into store-by-store allocation based on the customer demands in those specific regions and geography. So lots more to come on both the product cost inventory optimization with always kind of that idea of the full price sell through improving and being able to chase into that which will augment that sell through over time. Category performance, I just reinforce what Ashlee said. Denim, we’re still very happy with that. In fact, we moved through all of our platform fabrics and are replenishing our platform fabrics there as we chase products into the fourth quarter and first quarter of next year. And then knit tops, particularly sweaters, jackets are working; dresses are working, so really happy with the balance performance through multiple categories.
Dana Telsey: Thank you.
Lisa Harper: Thanks, Dana.
Operator: Our next question is from Corey Tarlowe with Jefferies. Please proceed.
Corey Tarlowe: Great. Thanks. Lisa, you provided a really interesting stat in your prepared remarks around your ability to chase. I think you mentioned it was something like 10% or so of your buy is still open for the fourth quarter. Is there any way to put that into context to talk about sort of where we’ve been in terms of your ability to chase and the inventory that you had availability in prior seasons versus what you have now and what that might mean for the P&L going forward as we head into the back half year?
Lisa Harper: Sure. Hey, Corey. We really haven’t chased in an appreciable way since 2016, I would say. So this ability to chase is kind of reawakening a muscle that the organization did have but hasn’t really utilized in a bit? We’re currently 10% of our receipts in Q4 are chase receipts. So we’re in play currently. We’re being able to fill all of that open to buy and so that that’s exciting. I think that chase could get to a little bit higher than this, maybe 15% at the most but we’re more to come on that. Do think obviously there’s margin opportunity as you are chasing closer to need, closer to demand, understanding customer preferences. Many of these chase styles are reorders based on initial sell through. So it overall makes our inventory more and more productive as we have more information before making – making the investment and core to our strategy of inventory productivity and being able to manage that more effectively will be this chase capability. And our vendors are in our product development sourcing teams are doing a great job in being able to meet these needs.
Corey Tarlowe: That’s great. And then could you just provide some more color on the cadence throughout the quarter and then maybe any trends you’re seeing quarter-to-date? Thanks so much.
Lisa Harper: Can you take that Ashlee?
Ashlee Wheeler: Yeah. I mean, trends throughout the quarter Corey, May was really strong early part of June as well. I think we saw similar to many retailers, a tougher 4th of July holiday, but then we had a very, very strong finish to the quarter with a really, really strong cash event that we were proud of in July. So I think a little bumpiness around the 4th of July holiday, but otherwise the quarter exceeded our expectations. As for the start of Q3 with a month in we are – we’re on track.
Corey Tarlowe: Great. Thank you so much and best of luck.
Lisa Harper: Thank you.
Paula Dempsey: Thanks. Great.
Operator: Our next question is from Alex Straton with Morgan Stanley. Please proceed.
Alex Straton: Perfect. Thanks a lot for taking the question. Just a couple for Paula on the full year sales guidance, really kind of a two-part question. I know you trimmed the high end. Can you just walk us through sort of what’s driving a little bit more conservatism there? And then despite trimming, we do still have that comp improvement assumed in the back half. So just a little bit more detail illuminating what gives you confidence there? And then just secondly, just for Lisa, just on the average customer age increasing over time, some of that data you gave. Is the goal to bring that back down or just help me understand, I guess, what the strategy is there, if you’re okay with where it sits or what the plan is from here? Thanks a lot.
Paula Dempsey: Yes. Hi, Alex. This is Paula. So I think in regards to guidance for the second half of the year, we’re really just tightening our guidance, right? Six months of actual have already taken place. So we know we have a good understanding of where the business is. So I think from our perspective, we just tightened our guidance from a top-line standpoint. We do expect, and we saw our guidance for Q3 and Q4, we do expect for our results to start reflecting that inflection point that Lisa had brought up. And specifically in Q4, we do have, one thing that you have to remember is that last year, we had an extra week, right? So – and we were very clear that last year that was worth about $22 million. So I don’t think we’re being that conservative with our quarter for Q4. It’s a realistic quarter in which we are chasing inventory. We’re also launching – we’re going to be launching new capsules during that time to be able to get to where our targets are. So hopefully that covers.
Lisa Harper: And hi, Alex. I’ll talk about the average customer age. My goal, our goal as an organization would be to rebalance that age a little bit younger. But again, I think the stickiness of our customer is world class. We’re really happy that they stay with the brand. Our core franchises have really resulted in great levels of productivity and consumer demand. But our focus on customer, on product innovation as we move forward with the capsule concepts and making sure, like I spoke to the denim assortment, become – making sure we are relevant commercial in terms of those decisions. I think that will all guide towards growing the total customer file. And as we grow that customer file, I expect the average age of it will come down slightly. I think that it’s important to note, I mean, we announced the winner of the Model Search today, and most of our applicants in that Model Search were in their, like 29, I think was the average age of that. We had a lot of activation and interest in that. We had the most involvement and engagement that we’ve ever had in this type of program before. And target is – and the competitors were targeted right into that core age group naturally without us managing it in any other way. And so I’m excited with some of the product initiatives that we have. While we will not walk away from our tried and true [ph] dedicated evangelical customer. We certainly have an opportunity to expand those product offerings to incorporate different mindsets and age groups into the brand while leveraging all of our capabilities in our web and store platform. So excited about the opportunity associated with that and very focused on ensuring that we protect the core business while we look to expand product and expand the opportunity.
Alex Straton: Thanks a lot. Good luck, ladies.
Lisa Harper: Thank you.
Paula Dempsey: Thank you.
Operator: Our next question is from Dylan Carden with William Blair. Please proceed.
Dylan Carden: Thanks a lot. Just curious sort of a broader discussion on structural margin. I mean, you’ve rattled off so much that you’ve done to improve just the broader efficiency of the business, really soup to nuts. And I’m just kind of curious, are we playing here for return to kind of where you were low teens that pre pandemic or is there more efficiency even relative to that period? And I guess when from a timing standpoint you might expect flowing through some of the nice gross margin that you’re seeing? Thanks.
Lisa Harper: Just for clarity, Dylan, you’re referring to EBITDA margins?
Dylan Carden: Yes. I mean, either really operating or EBITDA, maybe you want to talk about it.
Lisa Harper: I mean, I think that we delivered 12.2% EBITDA margin in this quarter. We think we have opportunity to kind of rebalance margins in fourth quarter. I think we’ve overinvested. Our sales are pretty flat quarter-to-quarter. We don’t have the same type of seasonal gift giving build that some players have, and I think we overinvest in that. So I think one piece of the opportunity and margin expansion is kind of rightsizing the investment in fourth quarter, whether it’s payroll or marketing or some of the promotional pressure that you have. We don’t feel like with our position in terms of inventory and assortment, that we’re going to have to be as promotional as perhaps the company has chosen to be in the past. So I do feel like we have a path back to the low teens. And I think over time, kind of low- to mid-teens would be reasonable. Based on what I talked about the fourth quarter, but also that we built this platform, we’ve built this operational platform that we can – we feel very strongly that we can leverage at this point. So flow-through should be at or above current levels in terms of growth, and EBITDA flow through should start. I don’t want to say accelerate, but I think the flow-through should be very stable. We feel like fundamental to this is the investments have been made, the platform has been developed, and now it’s about leveraging that and scaling that investment. So I’m happy with our path back to the low- to mid-teens and feel like that can be accomplished in the next several years.
Dylan Carden: Thanks. And just a point of clarification on the store repositioning, is this that you’re going to get to 50/50 primarily through closures, or is there a healthier balance of closures with opening sort of further out? And then I guess I’m just curious, is 50/50 mix the end target, or is that just sort of where you’re looking to get to in the more medium term? Thanks.
Paula Dempsey: Yes.
Lisa Harper: Go ahead. Sorry.
Paula Dempsey: So, yes, this is Paula. So we are targeting the 50/50. And like we said mentioned earlier, it will not be overnight. It will take three to five years to get there. But it’s not going to be just through closures. It’s definitely going to be closures and mix in with openings. So there’s going to be a timing there that we may be closing more than opening. And there might be times where it'll be opening more than closing. So it’s going to be a mix and that’s why I believe it’s going to take three to five years to get to that 50/50 balance.
Dylan Carden: Makes sense. And is 50/50 optimal, or is 50/50 just something that’s achievable over the three to five years?
Paula Dempsey: That’s – it’s both, to be fairly honest. I mean, we do have very good centers are enclosed malls, specifically, like, in geographical locations that might be like the weather might be colder [ph] and et cetera. So we wouldn’t necessarily want to get out of all enclosed loans, but I would say 50/50, it meets both.
Lisa Harper: I mean, based on what we know today, that’s what we think as optimal. But things change over time and we’ll continue to analyze it. I think our path to getting there in the next three to five years is reasonable and I’ll just reinforce that. Yes, there’s going to be a short term kind of aspect of closures. But over time, we’re still opening, I think 12 to 15 this year. So it’s not just a closure game. It is a net remix game.
Dylan Carden: Yes. Make sense. Thanks a lot. Nice work.
Lisa Harper: Thanks.
Operator: [Operator Instructions] Our next question is from William Reuter with Bank of America. Please proceed.
William Reuter: Hey, guys. Good morning.
Lisa Harper: Good morning.
Paula Dempsey: Good morning.
Lisa Harper: Sorry, we can’t hear you. Operator?
Operator: We lost William’s line. We have no further questions at this moment. Unless you want to pause and I could see if I can reconnect him.
Lisa Harper: We’ll just close at this time. Thank you guys so much for joining us today. We look forward to sharing our third quarter results with you imminently. So thank you. Thank you for your interest in the company.
Operator: Thank you. This will conclude today’s conference. You may disconnect your lines at this time and thank you for your participation.